Operator: Ladies and gentlemen, thank you for standing by and welcome to the Q4 2020 Acadia Realty Trust Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today Alex Burger. Please go ahead.
Alex Burger: Good afternoon and thank you for joining us for the fourth quarter 2020 Acadia Realty Trust earnings conference call. My name is Alex Burger, and I'm an Analyst in our Acquisitions Department and previously intern at Acadia in the summer of 2019. Before we begin, please be aware that statements made during the call that are not historical, may be deemed forward-looking statements within the meaning of the Securities and Exchange Act of 1934 and actual results may differ materially from those indicated by such forward-looking statements due to a variety of risks and uncertainties including those disclosed in the company's most recent Form 10-K and other periodic filings with the SEC. Forward-looking statements speak only as of the date of this call, February 11, 2021 and the company undertakes no duty to update them. During this call, management will refer to certain non-GAAP financial measures including funds from operations and net operating income. Please see Acadia's earnings press release posted on its website for reconciliations of these non-GAAP financial measures with the most directly comparable GAAP financial measures. [Operator Instructions] Now, it's my pleasure to turn the call over to Ken Bernstein, President and Chief Executive Officer who'll begin today's management remarks.
Ken Bernstein: Great. Thank you, Alex. Good job. Good afternoon everybody. Before we delve into the details of the last quarter, I'd like to spend a few minutes on some of the trends we saw last year and what we're seeing looking into 2021 and 2022. While we're still working through an ongoing health crisis and ensuing economic headwinds, there is clearly light at the end of the tunnel. Looking at our collection rate in the fourth quarter, our leasing activity, our discussions with our retailers, it's comforting to see both stability with respect to current operations, and then more importantly, very encouraging green shoots in terms of new leasing activity. In terms of existing retailer performance and our collections as John will discuss, collections throughout our portfolio have stabilized to above 90%. Initially this was driven by the more essential and suburban components of our portfolio, but more recently, the street retail component has begun to restabilize as well. And while the range of potential outcomes remains very wide and I suspect focus on monthly collections will continue for another few quarters, there are a few worthwhile trends that are beginning to emerge. One of the more notable trends we saw in the fourth quarter and accelerating to date is that tenants are looking past the pandemic and positioning themselves for the reopening of the economy in the second half of the year. Retailers are showing up and most recently not just in the suburban portion of our portfolio, but also in the street and urban components. And thankfully, we're seeing this in our current leasing activity. In terms of our current leasing pipeline, which we mentioned on the last call at being approximately $6 million and now it has grown to over $8 million. And this number is relevant because this pipeline already represents a rebound of about half of the 10% short-term hit to our NOI that we estimated as a result of COVID. This pipeline has rebuilt faster than we had initially expected and has continued to improve over the past month. To-date, we have executed $3 million of leases in this pipeline, we're at least for another $3 million, and then the balance is at the letter of intent stage. Leasing activity in our pipeline is now weighted fairly proportionate to our portfolio weighting meaning that while initially the activity was weighted to our suburban and necessity portion of our portfolio looking forward in our pipeline, our deal flow is now rebalancing and about 70% is in street and urban. Now given that the street portion of our portfolio represents about 40% of our core portfolio and is a key area of differentiation for us. I think it's worth spending a few minutes on the encouraging rebound we're seeing there. After a very scary and quiet couple of quarters, retailers are actively touring and going to lease in these markets. The early movers we saw for the street component, they were in the half of our street portfolio located in the less dense markets that were generally quicker to reopen for business, for example, in Greenwich and Westport, Connecticut. In the last few weeks, we have finalized leases in both of those markets. Rents there are approaching pre-COVID levels. But even more encouraging in terms of street retail trends is the recent activity in the more dense gateway markets. We are finalizing several leases in Manhattan, including in Soho, several leases in Chicago including in the Gold Coast. And here we're seeing a variety of retailers stepping up in these markets from luxury leaders to up-and-coming digitally native brands all preparing for a post-COVID economy and using these stores to further differentiate themselves in an omnichannel world as these retailers focus on the shifting channels of distribution. Our retailers are looking past the harsh short-term realities that we're facing this winter as well as the oversimplified longer-term narrative around retail real estate. And based on the number of retailers touring and many of them signing leases our retailers are making it clearer every day that the key markets in our portfolio will remain long-term must-have locations. Now starting rents compared to pre-COVID rates are going to vary space-by-space and street-by-street and they are certainly well off of their 2017 peaks, but we have built our portfolio to avoid some of these peaks and valleys. And these leases will be compelling, especially, if the long-term rents are consistent with our pre-COVID goals and so far they are. And our retailers are telling us that the ratio of rents to their anticipated sales performance looks compelling from their perspective, which is also essential for this recovery. It's still early. But if these trends hold the street portion of our portfolio will be a key driver of our longer-term growth metrics. We recognize that a significant portion of our portfolio both urban and suburban that is weighted with necessity and value-based tenants like Target and T.J. Maxx, but that provided us very important ballast to weather a truly 100-year storm. But it is becoming clearer that the longer-term growth will come from our mission-critical locations for a few reasons. First of all, our re-leasing potential here is of uniquely high-quality locations and we are working off of decades-low occupancy level. Second, the contractual rental growth rate in our street portfolio is 100 basis points to 200 basis points higher than in the other components of our portfolio. And finally from an AFFO perspective, since the cost of re-tenanting in these higher-rent markets is substantially less as a percentage of rent, the net effective rent growth will be stronger than in the lower-rent portions of our portfolio. Now this is not ignoring, some of the longer-term trends that are playing out in our industry, the accelerated move to digital commerce, the reality that the US is over-retailed in general and that some formats are facing functional obsolescence nor it is ignoring a workforce that's pondering where they might live, how they might work. These are real challenges. Challenges that our industry is being forced to adapt to on an accelerated basis. But notwithstanding these challenges, we are seeing signs of recovery and our portfolio is well-positioned for this. And some of this rebound in hindsight will look obvious. For example, it's important to keep in mind that the consumer in general and especially, that segment of the consumer that is shopping at the stores in our portfolio that consumer is climbing out of this recession in a much different spot than prior recessions. Now for that significant portion of the population that could not shift to remote work that is living paycheck to paycheck or worse, the impact of this crisis is heart-wrenching. But that portion of the economy that has been able to shift to remote work, that has seen their house values and their stock portfolios rise. For those consumers, their savings rate and disposable income is much stronger than when they were climbing out of the global financial crisis. But to date, spending by this segment has been down, as the short-term trend has been on necessities, on essentials, on pajamas, almost irrespective of the financial condition of that specific consumer, not because of fear or belt-tightening by the affluent as much as just the realities of the lockdown. And as we move past this lockdown, our retailers are expecting shifts in consumer spending as well. And our retailers are seeing not just short-term pent-up demand but longer-term trends and are planning accordingly. From a capital markets perspective, both the debt markets and the equity markets are slowly beginning to rebuild albeit selectively. The retail real estate industry is still working through the drama around the collection crisis of last spring. And while that is abating, the aftershocks are still with us and many of the traditional unfound metrics that our industry has historically used to evaluate location quality, have paused. Last spring for instance, property level collection rates trumped credit quality and credit quality trumped location quality. Now during the darkest days of the crisis this might have made sense. But longer term, location, quality tends to win out. And while this trend is beginning to resolve, it's going to take time. Additionally, many institutional investors are overweight retail due to their mall holdings. And even investors who are not overweight retail are looking for clarity. Clarity as to what the cost to restabilize assets will be, clarity as to when and what level will rents and tenant performance stabilize. And then finally what will the longer-term growth rates look like? Now I get that providing this clarity sounds like a tall order it always does at this point in the cycle. And then the rebound happens usually faster than most of us predict. In terms of our investment activity with our stock at a discount to NAV and our cost of capital being elevated, we don't anticipate acquisitions in our core in the short term. In fact, we'll be opportunistically monetizing assets as we recently did with a freestanding Home Depot in New Jersey, where the net lease retail market is still robust and properties are trading at peak pricing. But we are hopeful that as significant buying opportunities arise we'll be in a position to capitalize on them. Given that retail is in such disfavor and many folks who previously dabbled in it are gone, there will be less competition and our expertise will be in demand and it will be of value. And while we wait for the public markets to rebound, fortunately as Amy will discuss, we have our discretionary fund where we still have plenty of dry powder and deal flow is finally picking up after a quiet year. So to conclude, we are pleased to see tenants stepping up. And while it's hard to predict when the capital markets will also respond in kind, when they do a portfolio like ours dominated by unique must-have locations with stability and then strong prospects for growth will once again become compelling. And management teams like ours, with access to multiple types of capital and a proven track record of deploying it will be well positioned to execute on the opportunities in front of us. So with that, I'd like to thank our team for their hard work and their focus over the past year. I know that it felt like at times that the earth stopped spinning around its axis. I assure you, it didn't. And your efforts and your commitment, not only helped us get through this treacherous period and survive, but helped us plant the seeds going forward for our ability to thrive as well. And with that, I'll turn the call over to John.
John Gottfried: Thanks, Ken and good afternoon, everyone. I will start off by providing an update on our cash collections along with our fourth quarter results, followed by a discussion of our 2021 guidance, and then closing with our balance sheet. Now starting with collections. In hindsight, the initial and immediate impact of the pandemic was staggering with our April 2020 results barely achieving a 50% collection rate. But over the course of the year, we quickly saw improvement, not only with the collections of current rent, but also in past due amounts. In fact, as we look back over the course of the pandemic, we actually ended up collecting over 86% of our billings during the three quarters in 2020 and over 90% when we look at the third and fourth quarter alone. And as we outlined in our release, we are now consistently collecting in excess of 90% of our rents. And as we experienced throughout the pandemic, our collection percentages remain consistent throughout our street urban and suburban locations, given the relatively comparable credit that exists across our portfolio. As I discussed last quarter, our balance sheet continues to reflect our collection efforts. Not only did we see our net tenant receivables decline from the prior quarter, in fact they're actually even lower than they were as compared to the fourth quarter of 2019. In terms of tenant deferral agreements, we have approximately $3 million on our books at December 31. And as our approach was to largely focus our deferral efforts on credit tenants, we remain on track for full repayment in 2021. Moving on to quarterly earnings. Our FFO as adjusted, for special items, was $0.24 a share for the fourth quarter. We anticipate that our quarterly FFO prior to any transactional items should remain around the current level for the next few quarters, give or take a few pennies in other directions as we navigate through the pandemic. As we highlighted in our release, we have provided our 2021 guidance with a range of $0.98 to $1.14 of FFO before special items. Now, we continue to expect ongoing variability in our results for at least the first half of 2021. We've not attempted to predict the impact of this within our guidance. But as we've done throughout the pandemic, we will continue to point out any significant items in our quarterly results and we'll update our expectations accordingly. Additionally, although we didn't include any specific NOI assumptions, I want to provide a bit more color as to how we're thinking about it. Consistent with what we experienced the past couple of quarters, we expect that our quarterly pro rata core and fund NOI should trend in the low to mid-$30 million range for at least the first half of 2021. And this is based on our assumption of maintaining a 90% collection rate, along with no meaningful tenant expirations or no leases coming online. In terms of overall occupancy, as we've said in the past, given the wide range of rents that exist within our portfolio, the percentage change in and of itself is generally not particularly well correlated to the NOI impact. Our expectation is that our physical occupancy percentage drops a bit further in Q1 and Q2, primarily to natural lease expirations within our suburban portfolio, before it begins climbing in the second half of the year. It's worth highlighting that our current spread between physical and leased occupancy is in excess of 1%. And given the velocity as to which our leasing team is building the pipeline and executing leases, we anticipate this spread, particularly in our street and urban locations to continue to expand throughout the year. Now as we move into the latter half of 2021, we anticipate that our quarterly NOI run rate will increase by approximately $1 million to $3 million. And this is coming from a combination of reduced credit losses, along with the additional NOI from the leasing efforts, beginning to come online. Now in terms of rent commencement on those new leases. Of the $8 million pipeline that Ken mentioned, approximately 40% of this involves or $3 million involves executed leases, and we expect about $800,000 of that will show up in the second half of 2021 and the remaining portion coming online at various points throughout 2022. And as I will touch on shortly, we are becoming cautiously optimistic that this will be the start of what we believe is a meaningful multi-year NOI growth trajectory. In terms of other assumptions within our fund and transactional side of our business I want to point out a few things. Consistent with our past practice we will continue to exclude any changes in value from our unsold Albertsons shares. Rather we will only include the realized gains as the shares are sold. And as I mentioned on prior calls we expect that the remaining Albertsons shares should be sold over the course of the next 18 to 24 months. As a reminder we own on a pro rata basis approximately one million shares which are subject to certain lockup arrangements. And based upon the current share price this equates to approximately $16 million of gains as the shares are sold. Additionally we have guided towards $2 million to $5 million of a temporary reduction in fund fees. This is primarily a result of the pandemic-driven timing delays in our acquisition and leasing activities and we anticipate these fees should revert back to more normalized levels in 2022. I also want to point out and Amy will discuss further we have approximately 40% remaining in Fund V to deploy. And if we invest that consistent with the Fund V returns to date this provides us with an additional $0.05 to $0.06 of incremental FFO on an annual basis. Now in terms of the multiyear core NOI growth trajectory, not only does our base case model have us returning to pre-COVID levels by late 2022 early 2023 we are also starting to see the building blocks forming to grow above and beyond that. And we are becoming increasingly optimistic that this shows up within the next few years. The key drivers of that return to pre-COVID core NOI and the ongoing growth beyond that are expected to come from two primary sources. First a reduction in credit losses and we estimate that should result in roughly $7 million of annual NOI. We continue to estimate that about half of our nonpaying tenants get to the other side of the pandemic and revert back to contractual rents. In terms of timing as I mentioned in my guidance we expect to see some improvement beginning in the second half of 2021 with stabilization at some point in '22. Secondly lease-up and more specifically lease-up in our street and urban portfolio. Our overall core occupancy is at a decade-low occupancy of 90% with the street and urban portion at 87% in some of our best locations available. In terms of timing of lease-up as Ken mentioned our team has made strong progress in this past several months with building out an $8 million pipeline the majority of which is coming from street and urban locations. And for those spaces that have not yet made it into our pipeline, while it's premature to pencil in precise rent commencement dates we are optimistic that a good chunk of the space is leased over the next 12 to 18 months based upon the leasing discussions we're having and the increased momentum that we see building in the marketplace. So we certainly have a lot of hard work in front of us. We are encouraged with the leasing activity we have seen and continue to see and the opportunities it presents for meaningful and profitable multiyear NOI growth. Now moving on to the balance sheet. I want to highlight just a few items along with an update on our dividend. We continue to maintain ample liquidity between our cash on hand and available liquidity under our various facilities with no material near-term core capital needs. And at a 90% cash collection rate coupled with a breakeven below 50% we are continuing to retain cash flow. In terms of the dividend as we highlighted in our release we expect to initially reinstate our dividend at $0.15 a share. Our initial payout was conservatively determined based upon what we currently expect will be the minimum payout required to maintain rate compliance. And at this level we should be able to generate meaningful amounts of liquidity and to set ourselves up for strong dividend growth over the next several years as we execute on the lease-up opportunities within our portfolio. In summary while we are still in the midst of the pandemic we are starting to see the green shoots. And while our earnings will continue to feel the impact of the pandemic for the next couple of quarters we are starting 2021 with increased optimism and a positive outlook as we look forward. I will now turn the call over to Amy to discuss our fund business. 
Amy Racanello: Thanks, John. While I usually discuss all our funds on these calls today I will focus my remarks primarily on Fund V which is our current fund vehicle for new investments. When we launched this fund in 2016, we were already facing disruption in the retailing industry and knew we were late cycle. In response we chose to focus this fund on selectively acquiring out-of-favor suburban shopping centers where most of our return comes from existing cash flow. Our thesis was buy at an 8% cap rate, leverage at two-third in our case at a sub-4% interest rate and then clip a mid-teens coupon. We did not anticipate any material growth in NOI, nor was it required to make an attractive return at an 8% going in yield. This thesis proved to be prudent. While the events of the past year were certainly unexpected consistent with our original expectations for our Fund V portfolio, the properties have largely been performing consistent with plan. For example, last year at the property level, we achieved roughly a 14% leverage yield on invested equity including deferred rents. Looking ahead, we expect 2021 and 2022 to achieve similar mid-teens returns reflecting continued growth in NOI, but also continued investment of equity as we complete various leasing activities. Second, collections have rebounded since April and May and are now roughly at or above the 90% level. Third, our team has built a strong leasing pipeline, which has enabled us to maintain our NOI. Post-COVID outbreak our Fund V leasing pipeline has 32 leases aggregating annual base rent or ABR of $5.1 million of which 20 leases and approximately $2.6 million of ABR have already been executed. These metrics provide further evidence of our acquisition selectivity and our overall careful approach to capital allocation. I'd also like to share a couple of examples at the property level. First, since recapturing a 95,000 square foot Kmart at Frederick County Square in Maryland last February, we have successfully pre-leased 83% of that box to Lidl Ollie's Bargain Outlet and Harbor Freight Tools together with our partners at DLC Management. We are also negotiating a lease for the remaining 17,000 square feet. The blended rent for the four new leases is more than 5 times Kmart's rent. Next consistent with our core portfolio, we monetized 2 parcels at Family Center at Riverdale in Utah. The parcels located at the back of the shopping center generated $10 million of gross sale proceeds. Given the strength of the net lease market, we were able to achieve roughly a 200 basis point spread between the allocated cap rate in our underwriting and our actual exit cap rates. This translates into about $2.5 million to $3 million of profit on these two sales alone. Looking ahead to new transactional activity, we have approximately $200 million of discretionary equity available to invest which gives us approximately $600 million of buying power on a leveraged basis. We are still seeing opportunities consistent with Fund V's existing high-yield strategy and hope to close several more of these types of deals this year. The good news is we're seeing an increasing appetite among our vendors to finance these types of properties. On the other end of the risk spectrum, we are also focused on the acquisition of more deep distressed and opportunistic investments ranging from buying distressed debt to restructurings to heavier lifting value-add projects all areas where we have successfully invested in the past. These opportunities have been for a variety of reasons, slower to emerge, but they are clearly coming. Most importantly, we'll make sure that we are being rewarded appropriately for the risks we're taking. Given the success of Fund V and the longstanding support of our investors, we remain confident that we'll have the time we need to put the balance of the fund to work. At the same time, we continue to proactively mine our existing fund portfolio for disposition opportunities be it a smaller transactions less reliant on debt or large levels of debt or traditional shopping centers with a larger share of essential retailers. Finally, on the debt front during and subsequent to quarter end, we successfully extended approximately $150 million of loans across our funds platform at a weighted average duration of 17 months. In conclusion our fund platform remains well positioned with a successful capital allocation strategy and ample dry powder to continue to execute on it. Now, we will open the call to your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Todd Thomas with KeyBanc Capital Markets. You may proceed with your question.
Todd Thomas: Hi. Thanks, good afternoon. First, just a couple of questions on guidance. John, the $0.24 in the quarter or $0.96 annualized that's a clean number without Albertsons. It sounds like that's the right level to think about for the next few quarters, which is above the low end of the comparable 2021 range after stripping out what's embedded in the guidance for Albertsons. What's assumed in the guidance range that would get you down to sort of the low end of the range? 
John Gottfried: Yes. Todd, what I would say is that -- and if you -- within the press release, we had an observation there on the credit losses. So I would really say when we look at our quarterly run rate, look at the third and fourth quarter combined right to come up with between we're -- I think we're at $0.20 which was too low in Q3 and $0.24 this period. So I think that's probably -- just I would look at that second half is really be indicative of what the first half of next year should be.  So like I said remarks give or take a few pennies is really what we're talking about particularly with the cash basis of accounting creates noise simply based upon when that portion of our tenants pay us. 
Todd Thomas : Okay. And then you talked last quarter about getting back to sort of a recurring AFFO level of $1 per share in the near-term. Can you just help reconcile the 2021 FFO guidance, which on a recurring basis again after stripping out Albertsons is in the sort of $0.93 to $1.01 range with that recurring AFFO target? And what's the time line in your view to get back to $1 per share of recurring AFFO on a quarterly run rate? 
John Gottfried : Yes. So Todd what I would say is that, I think we're there in the fourth quarter and this is just a seasonal piece of our business that our fourth quarter tends to trend higher on a CapEx spend. So when I look out over the course of next year, I still think we're in that on average $0.25 range particularly with the growth we have in the back end. So I don't think we're far off of that and I would not use the CapEx spend, which is really the driver of where we were a few cents short in AFFO this quarter as being a run rate. 
Todd Thomas : Okay. And then just last question for Amy or maybe Ken. In terms of Fund V, you talked about some of the activity that's picking up. It sounds like there's a broad sort of set of opportunities across the capital stack and across the board that you're seeing.  Can you sort of characterize the opportunity that you're seeing for Fund V in terms of the time line and what you think you might end up sort of -- maybe you could kind of book end the value of investments that you're targeting here over the next couple of quarters in 2021? And how much risk or heavy lifting are you willing to undertake just given what seems like a lot of opportunities that are starting to surface? 
Ken Bernstein: So -- and Amy, I'll take a first stab at. If anything you want to add by all means. We have deals under letter of intent that look, feel and cash flow very similar to our previous Fund V deals. And I think given the uncertainties in the marketplace there's just nothing wrong with continuing to add assets where we get the majority of our return out of current cash flow. There's enough uncertainty in the world that you should expect if I were to guess and this is just a guess that probably half of the remaining Fund V looks a lot like the prior.  Then for the other half of that Todd, we're willing to and you've seen us in the past undertake very heavy lifting opportunities. We just have to make sure that our stakeholders are rewarded for the risks, we're taking. And that requires two things, one, we need to see improvements in tenant demand and we're beginning to see that so that's encouraging.  And then we need sellers to be realistic about the time, cost, effort and what returns we deserve and that's taken a little longer because I have a feeling on the heavy lifting pieces much of this deal flow is going to come not from the junior equity, but from the lenders or mezzanine holders who are going to ultimately control that capital stack. And because I think for good reasons, the Fed has urged banks to be very accommodative because things froze for a while that's been taking a bit longer.  But we are now starting to see things become actionable. We're seeing the selling stakeholders be rational about what their expectations are. And so if we can get better rewarded for buying vacancy doing heavy lift than existing cash flow we'll do that; and if we can't we'll just continue to do those type of Fund V deals and the market's going to be there for those as well, because there's enough institutions primarily private who are in need of liquidity either reducing their holdings in retail or for otherwise. And we're in the perfect spot to I think take advantage of this.
Todd Thomas: Okay. All right. Thank you.
Ken Bernstein: Sure.
Operator: Thank you. Our next question comes from Linda Tsai with Jefferies. You may proceed with your question.
Linda Tsai: Hi. Can you talk about some of the tenants signing leases in your street retail portfolio? Anything interesting to highlight here? Are the tenants new to your portfolio or existing?
Ken Bernstein: It's a combination. But Linda, I think the -- first of all, the important thing is they're showing up. And there was moments in the summer where we were like "Wow, my tenants go away forever" and the answer is clearly they're not. At the luxury level, there are a host of encouraging signs that the luxury segment is not going to wait for international tourism to come back in order for them to open stores, where they can differentiate themselves from their peers where they can control their format and where they can get in front of both a domestic customer and otherwise. So the luxury piece is encouraging and you're seeing signs of it in Soho, you're seeing signs of it elsewhere in the country and we expect to get our fair share of that. Then the digitally native, who again over the summer we were wondering who's going to make it through or not. Those retailers who started off with strong online presence, they used that presence during the lockdown to get them through this. But what they're seeing is that the stores are still a critical way for them to drive both top line, but especially bottom line. If you think about our assets on Armitage Avenue with tenants ranging from Allbirds to Warby Parker, we're continuing to work with a variety of those type of tenants throughout our portfolio and I'd expect to see them continue. And then in between are just the brands that have weathered this storm have rethought how they are going to connect with their customer. They're recognizing that the days of pushing a whole bunch of product through department stores that those days are changing that the days of being able to just sell the same stuff in the same way that those are ending. And so they want to use these unique stores as a way to connect with their customers as well. So all of that is adding up to tenants showing up looking to be around cluster with each other, in specific select areas. So let me be clear, I don't think this means that the retailer demand the amount of square footage is going to expand over the next several years, I don't. The United States is over retailed. But in these select corridors, retailers are seeing that they can show up that way and you should expect to see that. Then on top of that, do expect to see service retailers show up after a period of nothing, but essentials and other uses that are complementary to everything that we think about when we look forward to getting back out there.
Linda Tsai: Thanks for that. And then understanding that sales are still recovering for a number of nonessential retailers looking out a year from now, do you think occupancy cost ratios change meaningfully from pre-COVID?
Ken Bernstein: Yes. And this will be critical and this is something that I think we all are going to have to keep our eyes on, because simply listening to retailers saying that they can afford to open that space can lead to some errors. So we saw rents for instance on certain streets increase 10%, 20-plus percent a year for several years and we really need to monitor where rent-to-sales are. So based on the rents that we see tenants executing, based on the sales history pre-COVID as well as what we might anticipate as things open up the rent-to-sales ratios look very healthy. Retailers are acknowledging it. They also are acknowledging that there is for many of them a so-called halo effect, where they're not just going to have strong sales on a four-wall basis, but the benefits to their online initiatives as well. So I think to be crystal clear, it is going to be a retailer's market for a period of time. And with that, rent-to-sales ratios that are going to be lower, meaning rather than paying 15%, 17%, 20% they're going to be at the lower end of that. And everything we see about how our portfolio stacks up, we can afford to do those deals, we're going to and I think there'll be some really good growth on the other side of that.
Linda Tsai: Thanks a lot.
Ken Bernstein: Sure
Operator: Thank you. Our next question comes from Katy McConnell with Citi. You may proceed with your question.
Katy McConnell: Okay, great. Thanks. So 4Q occupancy fallout was a little bit lighter than we had expected. So I'm curious to hear your thoughts around the magnitude of potential fallout in 1Q. And whether you view that as more delayed after the holidays? Or does it just feel lighter overall now that more recent have been renegotiated?
John Gottfried: Ken, I'll just start with sort of the numbers and then you could maybe backfill into some of the other pieces. But Katy, what I would say is that, in terms of what I mentioned on my call is that, we have a handful of suburban natural expirations coming up in the first quarter and in the second quarter. So, I think just the expectation is on a percentage basis it will drop. But you need to keep in mind, as you know that, we have very different rents. So the percentage itself is somewhat -- you need to look at that in context. But in terms of actual physical declines, what I'll go back to is of the 10% that are not paying us I think half of those ultimately go away. So whether, that goes away first quarter, second quarter 2022, we're -- we'll see where that shakes out. So I don't really have a view other than that. Other than from an NOI perspective, it's not showing up because we're reserving it. So that's really the unknown Katy when that goes through. But I think of what I know and what I expect is like I said a handful of suburban movements.
Katy McConnell: Okay. And then within the $8 million leasing pipeline, understanding that all deals are going to be a little bit different, but can you provide a wide range or some context around what you're expecting for leasing spreads on the deals that you have already executed?
Ken Bernstein: John, why don't you take that?
John Gottfried: Yes. So, I think it's going to vary. And Katy, what I will tell you is that on our street, a lot of times these don't show up in the spreads for a host of reasons, whether we cut up the space or otherwise. So what I would do is, we actually -- as we get these executed, we will provide color as to what the profitability was before and afterwards as well as the cost to get us there to the extent they are not showing up in spreads. But I would say that they're pretty consistent with what we've seen in the past. There's not any -- they're pretty solid, but I'll provide color on them as they show up in our results.
Katy McConnell: Okay. That will be great. Thanks.
Operator: Thank you. Our next question comes from Craig Schmidt with Bank of America. You may proceed with your question.
Craig Schmidt: Great, thank you, good afternoon. I was just, wondering in terms of the street and urban retailers that are now starting to investigate, did you see a noticeable change once the vaccines were announced? Or has it been more recently? And the ones that are now looking around, when might those new leases hit your P&L?
Ken Bernstein: So -- and Craig, I think it was a combination of events. And certainly, the encouraging news around the vaccines were a first step in getting retailers to say, okay, we can now start thinking about 2021 and 2022 and what the world might look like. But I would tell you that also [Technical Difficulty] we saw a change in tenor with the retailers in terms of how they're thinking about executing through their various different channels. And much more of a focus on getting back to office, themes that have been around for a while but that are clearly resonating. Doing more with less, picking their stores carefully. And then thinking about based on who those retailers are where they want to be. So it really -- while October/November felt good, I'd say December/January felt significantly better in terms of just retailers recognizing that they're going to get through this, they're going to get to the other side. The opportunities in terms of spaces available are in the cities unprecedented. So if they wait much longer they're going to at least miss out on some of those opportunities but by moving now, there are a variety of choices and you're starting to see, and you read about it in the papers as well but you're starting to see them show up.
Craig Schmidt: And how long would it -- I mean, the people who are just looking now when would you think it might add those rents at the P&L?
Ken Bernstein: John, you gave some guidance as to what hits this year versus next in terms of the second half.
John Gottfried: Yes. No Craig. So I think particularly the pipeline of the $3 million that are executed a relatively small portion shows up this year and call that I think it's -- whatever I said in my script was the -- was about $800,000. And that's going to be -- the balance of that's going to start showing up in 2022. And I think the good thing with the street and we've said this before is that there's not a lot that goes into these spaces. So the time from execution to opening is much different than a suburban property that could take 18 months to build out and split et cetera. So it could happen quickly and we're starting to see increased conversations. So I think on the street that could ramp up very, very quickly. But this year I'm guiding about $800,000 of that $3 million we've signed shows up.
Craig Schmidt: Great. And then just real quick for Amy. I believe Fund V has till August 2021 to be invested. Do you -- given the more robust pipeline, do you think you can accomplish that? Or might that date get extended?
Amy Racanello: Craig, that's what I said in my remarks earlier that these are longstanding relationships we've had with our limited partners in the fund. So whether it's done over the next several months or if there's time beyond that, we just -- we're confident that we'll have the time we need to make sure that we put the balance to work.
Craig Schmidt: Great. Thank you.
Operator: Thank you. Our next question comes from Michael Mueller with JPMorgan. You may proceed with your question.
Unidentified Analyst: Yes, hi, this is Hung [ph] on for Mike. I guess, it looks like you put a few other tenants on a cash basis this quarter. How should we think about that? Is that kind of just a year-end cleanup? All the nonpaying tents are on a cash basis now, or can we expect more in the coming quarters?
John Gottfried: Hi, Hung. I assume you're referring to just from the straight line where we did the straight-line write-off the incremental, is that where the question is coming from?
Unidentified Analyst: Yes.
John Gottfried: So I think it's the -- just as you suspected it's just incremental cleanup at this point.
Unidentified Analyst: Got it. And would you know what cash collections were for these -- for your tenants on a cash basis in both the fourth quarter and in January?
John Gottfried: Off the top of my head I would not. I mean, I think it's one where I think if I look at the -- I keep going back to the 10% that aren't paying us. So certainly it's that bucket that if they -- those are on a cash basis. And I would estimate we're probably another 5% to 10% above that that are paying us. And I don't, Hung, really have the percentage handy as to what percentage of those are actually paying us.
Unidentified Analyst: Yes. No, worries. Thank you.
Operator: Thank you. Our next question comes from Paulina Rojas-Schmidt with Green Street. You may proceed with your question.
Ken Bernstein: You might be on mute.
Paulina Rojas-Schmidt: Can you hear me?
Ken Bernstein: Now we can.
John Gottfried: Yes.
Paulina Rojas-Schmidt: Okay. Sorry for that. So my question is about tenant reopenings. And about 10% of your tenants -- of the tenants in your portfolio haven't reopened yet, while it appears this number is much lower closer to 3% for other strip center peers. Can you help me understand the reason behind this gap? Is it that you have a lower exposure to essential tenants? Is it more your -- the geographic distribution of your assets? Any color would be appreciated.
Ken Bernstein: John, you want to -- well you know what, it is first and foremost geographic. And so because our properties are dominated in the major urban markets and they experienced a more significant shutdown more of those tenants were slower to reopen. In New York City restaurants, for instance, not a significant portion of what we own, but many of them were forced to shut down or remote only. So the glass half empty side of this is yes, more of our stores are currently closed than in some other parts of the country. The glass half full side is they are getting ready to reopen. Those that can't make it to the other side, as John mentioned, we're fully reserved for and I think that's to be expected. But those that have yet to reopen and do intend to get to the other side, I think that that will be a quick bounce back for us. John, I don't know if there's any additional color you want to add. 
John Gottfried : Yes, I think, that's right. I think, it's really just the geography and getting to the point where there's enough density in those areas to make it profitable for the store to open. So no I think that's -- I don't have much to add Ken.
Paulina Rojas-Schmidt : And then the second question, do you have any sense of how much market rents in New York, let's say, Soho changed in 2020 for your type of street retail assets?
Ken Bernstein: Too hard to tell, but here's part of the problem. When people held their asking rents at prior peaks and keep in mind rents peaked in 2016, 2017 and we were very cautious about that when rents were climbing to those levels. But if a landlord is quoting off of those rents the lease that they would execute in 2020 would be substantially lower, because rents had already fallen. Whereas realistic lenders -- excuse me, realistic landlords who had been transacting throughout the period 2019, 2020 pre-COVID, et cetera, there I don't think there will be as big a distinction. But it's so hard to gauge and each store is different, et cetera. What I will tell you is that 2020 rents are going to continue to be transitional to the extent that the tenants get open. 2021 same thing. But as we think about 2022, 2023 our retailers are showing a fairly bullish attitude and are willing to see pretty significant rental growth whether it be contractual or fair market value resets. So short-term, I think you should expect a lot of turbulence, you should expect a bunch of headlines across the board, but longer-term, I think you're going to see some very nice momentum. 
Paulina Rojas-Schmidt : Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Ki Bin Kim with Truist. You may proceed with your question.
Ki Bin Kim: Thanks, and good afternoon everyone. So it was good to hear you guys talking about the green shoots in street and urban retail leasing. But I'm curious what takes -- what are the retailers looking for to turn that kind of positive attitude that you talked about to much more signings for it to be more on a solid footing.
Ken Bernstein: Yes. And let's be clear, this winter is going to stick because of everything that we read about in the headlines plus cold weather, et cetera. So, some of this is going to be simply the seasons changing. And with that retailers are starting to, as I said, look forward because it takes a month if not longer to gear up for a strong reopening. Watch luxury and I think what you'll see pretty consistently is the luxury retailers are picking their spots and one of the spots happens to be Soho. And watch them stepping up there and where they're going. And I think that again will bode well for our portfolio and for Soho and specific -- and it's not just Soho, the same thing in other parts of the country elsewhere in our portfolio. Then watch where the up-and-coming retailers are clustering as well. And what I think you will start seeing over the next few quarters is, a rational migration to a few key areas where they can do strong top line growth and strong bottom-line, where they can present their brand in a differentiated way, because remember the channels are shifting. And some brands may say "You know what, I can do all of my sales online and achieve all of my needs." And for those select few great, but that's going to be the exception to the rule. Most recognize the stores are critical. And then it's a matter of where. So, I think it will be clearer, which markets win, which markets lose. Much of this will take into account a whole bunch of the trends we're talking about. But our focus in our portfolio is to make sure that we have those kind of, must-have locations.
Ki Bin Kim: Okay. And the deals that you've talked about that are in the pipeline, is the nature of the leases different than what we're used to, so things like, some optionality or duration things like that?
Ken Bernstein: So here's been the evolution. And it's been different than climbing out of other recessions. Out of the GFC, retailers were cutting tough deals and very long-dated deals. And so when you were signing that lease you were committed to a bearish outlook for a long period of time. Initially or certainly over the first half of this year-long crisis, retailers that were stepping up were stepping up generally with shorter-term leases. And they said "We'll figure out 2023 or 2024 when we get there." And so it worked for the landlord and the tenant on that side. And I still say that's more the theme we're seeing, than very long-dated leases. But now we are seeing, especially some luxury retailers saying "No. We know we want to be here for a long period of time." You've even seen on Madison Avenue in the last few months, two different retailers announcing that they're buying their locations, so talk about long-term commitments. As retailers are starting to make longer term commitments, then there is a give and take of what rental growth would look like. And I am very encouraged, by retailers' willingness to see their rents grow back to certainly pre-COVID and other levels, as they are interested in reaching out longer term. So, again, short-term, mainly retailers are saying, "How do I get open? How do we figure out the next couple of years? And then, we'll have some form of reset." But you'll start seeing longer-dated leases. And we are starting to sign some of them as well.
Ki Bin Kim: Thanks for that. That makes sense.
Operator: Thank you. And I'm not showing any further questions, at this time. I would now like to turn the call back over to, Ken Bernstein for any further remarks.
Ken Bernstein: Thanks everybody. Probably a few more months before we get together in person, but I cannot wait to see you all in person. Until then, stay safe. And we'll talk soon.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.